Operator: Good afternoon. My name is Nick, and I will be your conference operator today. At this time, I would like to welcome everyone to the Veeva's Fiscal Second Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. Rick Lund, Veeva's Investor Relations Director, you may begin your conference.
Rick Lund: Thank you, Nick. Good afternoon and welcome to Veeva's fiscal second quarter earnings call. With me on today’s call are Peter Gassner, our Chief Executive Officer; Matt Wallach, our President; and Tim Cabral, our Chief Financial Officer. During the course of this conference call, we will make forward-looking statements regarding trends, our strategies and the anticipated performance of the business. These forward-looking statements will be based on management’s current views and expectations and are subject to various risks and uncertainties. Actual results may differ materially. Please refer to the risks listed in our earnings release and the risk factors included in our most recent filing on form 10-Q, which is available on the company's website at veeva.com, under the Investors section and on the SEC’s website at www.sec.gov. Forward-looking statements made during the call are being made as of today. If this call is replayed or viewed after today, the information presented during the call may not contain current or accurate information. Veeva's disclaims any obligation to update or revise any forward-looking statements. We will provide guidance on today's call, but will not provide any further guidance or update on our performance during the quarter, unless we do so in a public forum. On the call, we will also discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results. A reconciliation to comparable GAAP metrics can be found in today's earnings release which is available on our website, and as an exhibit to the Form 8-K filed with the SEC just before this call. With that, thank you for joining us. I will turn it over to Peter.
Peter Gassner: Thank you, Rick. I will share some thoughts on the quarter and the opportunity ahead before turning it over to our CFO, Tim Cabral, for a review of our financials. We are pleased to report a great second quarter, with revenue of $75.7 million, up 53% from a year ago. We delivered solid profitability with the non-GAAP operating margin of over 27% for the quarter. We saw significant growth across every product area and geography. The business is firing on all cylinders. It's becoming clear that with industry cloud, you can build the significant company. In June, I spoke at Emergence Capital Industry Cloud Conference, where I had the chance to address more than 100 CEOs of industry cloud companies across the variety of sectors. Many are in their early stages and have a great deal of interest in the Veeva model, a model where first you create a target cloud solution that meets the unique needs of an industry and you make those customers widely successful. Then over time you build upon that success and insight to develop new innovative products and deeper customer relationships. People are seeing that it's not only about the tremendous legacy replacement opportunity. The opportunity is bigger with industry cloud, because you can capture a greater share of the market, you can deliver entirely new software solutions and you can provide data right in the software. For Veeva, this strategy of a broadening product footprint of tightly integrated industry-specific cloud solutions is gaining material traction. I want to take a moment to emphasize what a major and disruptive change in integrated industry cloud offering represents and its impact on how products are developed, deployed and consumed. We are moving from an old way of cobbling disparate client server and homegrown systems together with custom code to a new paradigm where customers utilize modular cloud-based products where the business process integration is built right in, so if customers add modules they interoperate seamlessly. They just work. This is why, for instance, we have been so successful in introducing the vision of Veeva commercial cloud, the idea of an integrated suite that brings together network, fault and CRM, to transform sales and marketing. We now have 11 customers, including four of the top 50 pharma companies, with all of the product lines that comprise commercial cloud. They have started in regions or divisions. In many cases, these customers are exploring the idea of a full global rollout of commercial cloud. They see the value in eliminating customs [Siloam] systems, complex integrations and gaps in key business processes. Seamless interoperability of tailored products that fit their business is part of the reason Veeva implementations are measured in months not years. This accelerate time to value is a big deal. It translates to increased agility and real bottom-line impact for our customers. Now, turning to the performance in each of our product lines, for the Veeva CRM product family, we had a very strong quarter. Fueled by continued demand for our core CRM application, we deployed thousands of Veeva CRM users worldwide in the quarter as customers harmonize their systems. This move from regional systems to single global standards is a trend we are seeing across in the industry and one that is benefiting Veeva in every product area. With our multitenant cloud solutions it is now possible to leverage one global system that delivers the flexibility to meet local needs. We are also seeing the benefit in terms of talent acquisition and customer interest of the disruption caused by Cegedim planned exit from the pharma CRM market. I am also quite pleased with the momentum behind our newer multi-channel CRM offerings. Customers are beginning to expand their digital capabilities powered by Veeva. For Veeva CRM approved e-mail, we added a record 10 new customers this quarter. Many are early with the product, but the quantifiable results in terms of email open rates and engagement are impressive. Word of the successes have spread and is leading to an expanded rollouts and new customer interest. For the web channel, we launched Veeva CRM Engage last quarter, a platform that allows our customers to engage healthcare professionals online. I am pleased to report that we signed our first Engage customer this quarter and are encouraged by the early pipeline. Last quarter, we also announced two new CRM products at the Veeva Commercial Summit, Veeva Align, which allows companies to effectively align their resources to customers and Veeva CRM events management for improved planning, management and execution of group meetings. Customer interest is quite strong and the early adopted programs for both products are oversubscribed. We look forward to bringing both products to market in the second quarter of calendar 2015. At a high level, in the life sciences CRM market, Veeva is emerging as the de facto standard. The value of our proven portfolio of CRM products is becoming well understood. This gives us a tremendous opportunity to sell more seats of our core CRM product and the additional CRM offerings that layer on top of that. It was also an outstanding quarter for the Veeva Vault product line. Our strategy is to provide a next-generation cloud-based platform for regulated content management and a suite of mission-critical applications built for life sciences. Our pipeline of new deals is rapidly growing. We are making consistent progress on this vision as customers expand Vault to multiple areas within their enterprises. We are beginning to have conversations with our customers about using Vault as an enterprise wide replacement for all of their regulated content management needs. On the R&D side, most customers are starting Veeva Vault eTMF. We signed a number of new Vault deals in the quarter, including a Vault eTMF deal with another top 10 pharma. The initial project will consist of several hundred clinical studies sites. We anticipate over time that they will standardize on Vault eTMF for all of their clinical trials across geographies, divisions and users. In this quarter, we also had a great milestone with our first top-10 eTMF customer. The project is progressing well and they went live with Phase 1 of their implementation in just 12 weeks. This phase would normally take two years or more with the legacy systems Vault is replacing. This is the type of speed to value I referenced earlier. The customer had no hardware to buy in provision, software to install, performance tests to run or custom code to write. They didn't have to customize our horizontal platform to fit the business or worry about the baseline validation work. Organizations can't wait two years for a strategic system. In the area of clinical trials, they need to speed study startup, collaborate with study sites and be audit-ready and they need to do it now. For Vault PromoMats, we signed eight new customers and the majority of existing PromoMats customers expanded the use of the product in this quarter. We now have more than 50 PromoMats customers in total. We are seeing our first customer standardize globally on PromoMats, and we have a strong pipeline of global deals. The value of an end-to-end solution from content creation to distribution is resonating and contributing to our emergence as a leader in this category. Vault encompasses a suite of regulated content management applications and a platform. The Vault platform is an exciting area that's emerging and that has great potential. There is a need for a validated highly secure platform and R&D, and this is the place where flexible industry cloud technology built for life sciences can make a great impact. Customers are coming to us with use cases for regulating content management that are outside of our core application areas, for which the platform is a great fit. They are starting to consider the Vault platform to develop their own custom applications. Customers are increasing efficiency, strengthening compliance and streamlining collaboration with Veeva Vault. We are building a lot of momentum here and critical mass of happy referenceable customers, so this fall we are holding our first ever R&D Summit. It should be a great event. We are bringing together customers, partners and prospects. We have customers across our R&D products, including Vault eTMF set to showcase their successes. Turning to Veeva Network, in Q2, we released Version 3 of Network, delivering the first single instance global customer master solution to support the industry's drive to coordinate systems and processes across the world. We have interest from a number of large customers and a few have purchased Network from multiple countries or added a country this quarter. In addition to the progress we made on the product and customer fronts, I am thrilled to welcome our newest board member Paul Sekhri. Paul is the veteran in life sciences and brings decades of knowledge, experience and relationships which will be a valuable asset as Veeva continues on its mission to become the most important technology partner to this industry. In summary, we made great progress in Q2. The business is firing on all cylinders. We are still in the early innings and we have a long runway to further capitalize on this market opportunity. I look forward to helping our customers all over the world solve more and more of their biggest challenges over time. With that, I will turn the call over to Tim.
Tim Cabral: Thanks Peter. The business continued to produce strong results on both, the top-line and bottom-line in the second quarter. Total revenue was $75.7 million, up from $49.6 million one year ago, a 53% increase and significantly above our guidance of $68.5 million to $69.5 million. For the quarter, subscription revenue was up 66% to $56.6 million from $34.1 million last year and services revenue for the quarter was $19.1 million, up 23% from $15.5 million one year ago. This outperformance was primarily driven by two factors. The first and most substantial was an accelerated pace of global CRM deployments that were originally planned for future periods. For our largest customers, global deployments have typically span three to four years as individual geographies and divisions are rolled out. In certain cases, customers accelerate the plans based on the success that they see in early deployments. For example, one of our largest customers is now on track to complete their global deployment in less than two years. This acceleration in Q2 materially impacted our subscription and services revenue along with other financial metrics such as operating margins and calculated billings. The second factor was the continued strength of Vault and Network. These product lines continue to ramp as customer adoption spreads within both, new and existing customers. In terms of geographic mix for the second quarter, approximately 55% of our total revenue came from North America and 45% came from outside North America. This was a shift of five percentage points towards international versus Q2 from a year ago. In discussing the remainder of the income statement, please note that unless otherwise stated all references to our expenses and operating results are non-GAAP basis and are reconciled in the tables from our press release which is posted on our website and filed with the SEC. Our subscription gross margin was 78%, up about one percentage point from a year ago, largely driven by the increased contribution of Vault, Network and CRM add-ons. We expect the trend in subscription gross margin to be up over time as our newer products account for growing percentage of subscription revenue. As discussed previously, these products have a slightly higher gross margin profile relative to our core CRM product. In Q2, services gross margin was 26% compared to 30% one year ago. We have been investing our services organization to ensure customer success as our business ramps with new products and new geographies. Our utilization rates have remained within our target arrange which produce gross margins in the 20s. Our total gross margin for Q2 was 64% versus 62% one year ago. This increase was driven by the continued improvement in subscription gross margin and the increase in subscription revenue as a percent of total revenue. Turning to operating expenses, we have added around 220 people to our global organization over the past year and now have over 800 employees. This is the primary driver behind overall operating expense growth of 42% from the same period last year. Sales and marketing expense was $13 million versus $9.3 million last year. R&D expense came in at $8.9 million, up from $6.3 million one year ago and G&A expense was $6 million compared to $4.1 million in Q2 of last year. Our operating margin was 27.5% in the second quarter, up from 22.3% in the prior year period and substantially better than our implied guidance of 22% to 23%. The operating margin upside compared or implied guidance was primarily driven by the material revenue outperformance in the quarter. While we don't expect that level of operating margin for the remainder of the year, our new annual guidance reflects our belief that operating margins will be in the mid-20s, up from our prior expectation in the low 20s. Net income was $12.4 million compared to $7.3 million last year. Note that our effective tax rate have recently increased as a result of the U.S. R&D tax credit expiration at the end of calendar 2013, unless this provision gets renewed, you should expect a 38% to 39% effective tax rate on a non-GAAP basis going forward. Our fully diluted net income per share for the quarter was $0.09 based on net income attributable to common stockholders of $12.2 million and diluted weighted average share count of 143 million. Turning to the balance sheet, deferred revenue grew to $85.3 million, up from $74.9 million in the previous quarter. our calculated billings were up 61% on a year-over-year basis, driven by the overall strength across our product portfolio highlighted by the accelerated deployments mentioned earlier. Looking ahead to Q3, we don't expect the same impact from accelerated deployment that we saw on Q2. Also, since add-on orders are coterminous with the customers' renewal date and our highest concentration of renewal dates is in Q4, we expect add-on orders in Q3 to be of shorter duration and contribute less to deferred revenue. As a result, we are expecting Q3 calculated billings to be down in a sequential basis. As previously discussed, our calculated billings is impacted by factors such as timing and duration of orders, payment terms and seasonality within our renewal base. Therefore, this metric is not necessarily indicative of the overall health of our business in any given period. We exited the quarter with $350 million in cash and short-term investments, up from $345 million at the end of Q1. During the quarter, we purchased a new headquarters building for $24 million in cash which was more than offset by our cash flow in the quarter. Over the next two to three quarters, I anticipate a total of approximately $7 million to $9 million of incremental CapEx as we prepare our new headquarters for occupancy. Cash flow from operations came in at $16.6 million, up from $7.2 million one year ago. This performance in Q2 was primarily driven by another strong quarter of bottom-line performance and deferred revenue growth and partially offset by a decrease in accrued expenses associated with our employee stock purchase plan. Let me wrap up by sharing our outlook for Q3 and our increased guidance for the full fiscal year 2015. For the third quarter, we expect revenue between $78 million and $79 million, non-GAAP operating income of $19 million to $20 million and non-GAAP net income per share of $0.08 based on a fully diluted share count of approximately $144.5 million. For the year, we now expect revenue in the range of $300 million to $303 million, which is roughly $20 million above our previous guidance. Non-GAAP operating income of $73 million $76 million, which implies a non-GAAP operating margin that is approximately 25% at the midpoint of the range, three percentage point higher than our previous guidance, non-GAAP net income per share of $0.30 to $0.31 based on a fully diluted share count of approximately 144 million. Overall, I am very pleased with the performance of the business this quarter. We are driving growth across all three product lines while investing aggressively for further long-term success. Additionally, I am excited to announce that we are holding our first ever financial Analyst Day in New York City on September 17th, so mark your calendars and please stay tuned for more information. With that, thank you for joining the call today and I will turn it back to the operator for questions.
Operator: (Operator Instructions) Your first question comes from Sterling Auty from JPMorgan. Your line is now open.
Sterling Auty - JPMorgan: Yes. Thanks. Hi, guys. In terms of the accelerated deployment, I am kind of curious about the amount of new purchases not necessarily new logos, but expansions into new division et cetera that might give you additional confidence and kind of the trajectory for the remainder of the year?
Matt Wallach: Hi, Sterling. Yes. This is Matt. When we do one of these big global deployments, the additional orders like what we saw in Q2 are generally new countries. Then at times, we will also expand into new divisions, but in this one that we are referencing, this was a large pharma company. One of our largest customers it is basically continuing their rollout of their pharma division. Does that answer your question?
Operator: Your next question comes from Karl Keirstead from Deutsche Bank. Your line is now open.
Jobin Mathew - Deutsche Bank: Hey, guys. This is Jobin Matthew on behalf of Karl. Thanks for taking my question. Congrats on the good quarter. In terms of the commercial cloud expansion, I think that's been the highlight of this quarter. Just by leasing at last quarter, it seems like you have got 11 customers on the entire cloud. What's driving this uptake? Do you feel like it's easy to convince customers to buy few other modules, because they already are using one, what's driving this uptake and has this contributed to anything to deferred revenues for this quarter?
Peter Gassner: Tim, you want to take that one for deferred revenue? Then I will take it about the what it means overall for the business.
Tim Cabral: Yes. The uptake in commercial cloud has contributed, I would say modestly to the deferred revenue this quarter, but we do see very strong opportunity in front of us there, Jobin, so not yet seeing in the financials but we believe firmly we will see that as we go forward.
Peter Gassner: If you look at the concept of commercial cloud overall what's going on, yes, we mentioned some number of customers have all three product lines, so it's important to say that they have just started in particular divisions and geographies, but they're envisioning this idea globally where they can have this interconnected systems globally and making there are processes much more effective. That's really elevating the discussion of Veeva as becoming a more strategic partner, so that and I think you can see that reflected in our financials where we are getting higher end customer, we are providing more value and it's increasing our momentum.
Jobin Mathew - Deutsche Bank: Got it. Okay. In your prepared comments, I think you referenced the fact that Cegedim was sold to IMS during this quarter or after that. Has this helped you close any deals so far this quarter or what's your pipeline looking just with that sale.
Peter Gassner: Well, to look at that really, you have to look at the market dynamics. For current Cegedim CRM customers, this acquisition, this disruption has caused their path forward to be unclear and that's really a good thing for Veeva. So far, we have increased interest from some of Cegedim's larger customers. Over time, I believe, our win rates in that large enterprise and in the mid-market will increase. Now, to answer question, specifically that's not something we have seen yet in this quarter, but we are seeing interest and interest often leads to business over time. The other area for that acquisition is on the talent front. Some of the great people currently at Veeva, they have come from Cegedim over the years and they are doing great things here and there are still some great people working at Cegedim, particularly in Europe and in Japan. These people have tons of experience, many years of experience in pharma CRM and they view Veeva as an innovative player in the industry. Because of this IMS acquisition, some of them are thinking it's a good time to come to Veeva. In fact, just this week we had an offer accepted by another great Cegedim personnel, a gentleman from Europe. I am excited to have him on board, so overall competition is good in the market, but this acquisition is working out well for Veeva.
Jobin Mathew - Deutsche Bank: Okay. One last question for Tim, so on the operating margins that clearly came above our expectations. Now, this is clearly a good problem to have, good growth with good margins, but did you guys have any trouble hiring at all this quarter in sales and marketing or R&D. Any plans on the margin to slowdown hiring. Has anything at all changed in the market? Just curious, thanks.
Tim Cabral: Yes. Jobin, thanks for the question. In terms of the operating margin performance in Q2, it was really driven by the revenue outperformance. I would characterize the hiring this quarter as a little bit stronger than Q1 and I would say normal to the prior quarters where we have been continuing to invest aggressively and I think that's going to be our approach going forward, so we are certainly not trying to maximize margins. We see an opportunity in front of us, so we want to invest in. I think as we talked about before, we definitely see this industry cloud model generating strong profitability and you saw that in our guidance where we have raised our annual guidance to reflect more of a mid-20s operating margin for the remainder of the year.
Jobin Mathew - Deutsche Bank: Thanks guys. Great quarter.
Operator: Your next question comes from Jennifer Lowe from Morgan Stanley. Your line is now open.
Jennifer Lowe - Morgan Stanley: Thank you. I wanted to dig into the Vault product a little bit, in particularly I think there was an announcement last week about win at a contract research organization, which I think kind of highlighted your opportunity to get new types of customers with Vault. Can you talk a little bit about how Vault is doing in terms of getting into customers that don't have commercial organization at this point? Then related to that, how are you thinking about the investments in sales go after some of those opportunities and type of productivity gains you are seeing there. Thanks.
Peter Gassner: Sure. Thanks, Jen. On the R&D side, Vault really has been taking off. As you said it's different segments for us, so we never had a product for companies that didn't have the sales force before, we didn't have a product for someone like a CRO, so the CRO channel we think is a big once. Every time you see a win for our ETMF product at CRO that kind of has a multiplier effect, because the CRO was out selling their own services to the industry. Broadly on the R&D side or for companies that do not yet have a product in the markets we are having really good success. Sometimes, this is replacing an existing systems but we also have a number of customers that are replacing their original paper systems as they get funding or as the product gets to the second phase or the third phase of clinical trials and we seen interest across all of the different areas, clinical, submissions and quality for these smaller companies. We've already made a lot of the investments to sell into the R&D side of life sciences industry in the U.S., but it is an area of a lot of investment in Europe and Asia in the coming quarters as we continue to build up the sales capabilities there.
Jennifer Lowe - Morgan Stanley: Maybe just following up on that, there was a comment on the call that customers were starting to pull Vault into new use cases beyond the ones that you initially brought to market. In those scenarios where customers are looking to do that how do you think about what you are willing to drive for them in terms of building out whatever workflows or capabilities needs to happen to enable those use cases versus customers building out themselves versus opportunities to work with partners to build out some of those scenarios for you?
Matt Wallach: Very good question, because you are right. There are those three axis you could look at. When customers bring things that they want to do that aren't in our six applications that we have, you look at that as opportunities for them to do custom application development or for us to maybe develop those applications of packaged applications or for partners, so it's early innings on this Vault as a platform and when we see these use cases, these are things that we don't do like product labeling applications, clinical contracts, scientific models, things like that. So far, we've channeled those into customers developing their own custom applications on Vault, and I think that's generally the pattern. That is the pattern I have seen before in platforms when new ideas come up, they are often very innovative, customers do it themselves. If it becomes a pattern then a partner may do it or Veeva may do it, but first it will start with the customer developing a custom application.
Jennifer Lowe - Morgan Stanley: Thank you.
Operator: Your next question comes from Parker Lane from Stifel. Your line is now open.
Parker Lane - Stifel: Hi. This is Parker Lane in for Tom Roderick. Thanks for taking my question. I was wondering with last quarter non-CRM revenues exceeding 10% of total revs. Do you guys have any growth target maybe three or five years out or what direction do you expect the contribution of the business segment to trend?
Tim Cabral: Yes, Parker. This is Tim. We don't have specifically a target for contribution of revenue across the three product lines mostly because we see great opportunity in all three product lines. We did continue to see Vault Network growing this quarter a little bit faster than CRM, and therefore actually make the non-CRM, if you will, make up a little bit larger of a percent than it did last quarter. We are not going to necessarily highlight that every quarter, Parker, but at certain milestones as we think about it, we will certainly make that an announcement.
Parker Lane - Stifel: Great. Also can you talk about the implications of the Cegedim deal with IMS from a network side of the business and does that potentially stun Veeva's growth in this market segment or does it perhaps accelerate the desire to utilize M&A to round out the offering in network?
Peter Gassner: If you look at network, it's really two primary parts of network, the software, the customer master software and then the master data, the data side of the business. In the software side of the business, it's really not impacted. This is an area where Cegedim more IMS really didn't have comparable solutions, so that hasn't been impacted. On the data side of the business, this is where particularly in Europe; Cegedim has been strong in that type of data. Now that's transferring to IMS, so it really hasn't impacted things one way or another. We are still competing with that data set. Even though we will have a new owner, we will continue to compete. I think you'll also get some amount of churn and uncertainty there which may work to our favor, but really know macro-level change to network from the acquisition.
Parker Lane - Stifel: Okay. Thank you.
Operator: Your next question comes from Brendan Barnicle from Pacific Crest. Your line is now open.
Brendan Barnicle - Pacific Crest: Thanks so much. Peter, in your prepared comments, you talked about demonstrating the ability to build a strong business within a single vertical. What are your latest thoughts about maybe looking at some adjacent verticals or some new verticals and what would it take to kind of make that sort of transition?
Matt Wallach: Brendan, we are really focus on the life sciences vertical and building the cloud and actually just think we are in the early innings of that. I mean in the best way to say that is, network, this is an area right? This is an area with product network, the data and the software. There are more things we will do on that platform and we are just penetrated just the early innings of that, so that's really where our focus is in terms of going to another industry or adjacent industries. It's something we certainly could do and I think I laid that out in my founder's letter some time ago. Right now, we think our opportunity is moving this industry forward and we are just getting going on it, so we are busy, Brendan, I guess.
Brendan Barnicle - Pacific Crest: Just to follow-up on that, how hard would it be to make that transition to another vertical if you decided to do that?
Matt Wallach: I think it's something that Veeva could do. Like all things that are significant, it would be hard to do, but I think we know how to do it. Veeva has certainly got a background in that area, but again I want to reiterate we don't spend a lot of time thinking about that. That's not something that we are planning to do at this time.
Brendan Barnicle - Pacific Crest: Another question I had was about deal size. Certainly with deferred revenue in your commentary, it sounds like you saw more large deals. Is there any way as you looked across the platform to kind of quantify the increase you saw in ASP or first year ARR?
Peter Gassner: Yes. In terms of quantifying that down to the specific deal or a product line product-type deals, we don't really do that now. There is a few reasons why our deals are - they can be complex, they can be multi-product deals, they can be multi-division, they can be global, they can be large deals seven-figure or eight-figure, but they may start with a very small deployment, a seven-figure or eight-figure deal. The first purchaser design win you know for that the first purchase order to be a five figure deal, so talking about deals really doesn't do it, but the dynamic I see in the market is our deal size, our aggregate deal size is getting larger because there is this trend to more global systems, so that helps us and our product footprint is getting bigger, so that helps us. Then there's one other specific dynamic in the Vault area, where were starting to see people consider Vault for all of their regulated content management applications in R&D, not just one application at a time and thinking about okay what if we do this as a suite altogether and that would increase our core deal size. Brendan, it's not really something that we focus on deal size.
Brendan Barnicle - Pacific Crest: Great, thanks a lot guys.
Peter Gassner: Thank you.
Operator: Your next question comes from Richard Davis from Canaccord. Your line is now open.
Unidentified Analyst: Thanks, guys. It's (Inaudible) maybe if you could just help me. I guess that the accelerated pace of deployments that you guys are seeing, where do you stand from a services capacity standpoint. I mean, are you guys able to keep up with the demand that you are seeing from customers.
Peter Gassner: Yes. We are able to keep up. I mean, this is something our customers, they work with us, so we can we get enough advance notice. We are pretty nimble. We also have quite a big global capacity, especially in services with our own people and with partners', so we are able to the flex and handle this. I am not saying it's easy. You know, we have to get after it every quarter when this happens, but yes we are able to keep up and keep our customer satisfaction high.
Unidentified Analyst: Got it, then maybe I would be curious, if you guys could share kind of your perspective on what you think IMS' strategy is with Cegedim. Then maybe any kind of potential pricing implications on the CRM side, how do they expect to be able to compete with you guys that would be a helpful color.
Peter Gassner: As far as IMS' strategy, I am not the best person to comment on that. You would probably have to get from IMS. I think the dynamics in the market largely we are focusing on ourselves and our customers so that we deliver them more value, make our products better, make our services better and become more strategic. As far as the acquisition, it hasn't really changed the market dynamics. As far as IMS strategy going forward, I really couldn't comment on that.
Unidentified Analyst: All right, thanks.
Peter Gassner: Thank you.
Operator: Your next question comes from Karen Russillo from Wells Fargo Securities. Your line is now open.
Karen Russillo - Wells Fargo: Hi. Thanks for the question. I just wanted to see if I could get you to give a little bit more color. As we look at the guidance you gave Q3, then the full year it looks like that you are going to see kind of pretty big margin compression in Q4 to get to kind of where the guidance is given what you gave for Q3. Just give us a little bit more color where [spending] is going to happen in Q4?
Tim Cabral: Karen, this is Tim. I think, I heard your full question. You were breaking up a little bit. You talked about margin guidance for Q4 and what our thinking was in terms of what we were implying in our full year guidance. Is that the question?
Karen Russillo - Wells Fargo: Yes. Sorry about that. I am on a bad BlackBerry.
Tim Cabral: That's okay. Again, as we talked about, we did raise our guidance both, on the top-line and on the operating margin line. We are looking at our business and looking at our operating model and the industry cloud driving a strong profitability performance, we are looking at mid-20s in terms of operating margin. I think you are right. I think, for Q3 it's probably a little bit higher Q4. We do have an aggressive appetite for continuing to hire and invest in what we see as a very big opportunity. I think what you are seeing is our expectation that we will continue to aggressively higher through Q3 and into Q4 against this large opportunity.
Karen Russillo - Wells Fargo: Okay. Great. That's helpful. Thank you very much.
Operator: There are no further questions at this time. I would turn the call back over to the presenters.
Peter Gassner: That's it. Thank you all for joining the call today. I will talk to you in three months.
Operator: This concludes today's conference call. You may now disconnect.